Operator: Good evening, ladies and gentlemen and thank you for standing by. Welcome to Allison Transmission's Third Quarter 2020 Earnings Call. My name is Lisa, and I will be your conference operator today. At this time, all participants are in a listen-only mode. After the prepared remarks, the management team of Allison Transmission will conduct a question-and-answer session . And I would now like to turn call over to Mr. Ray Posadas, the company's Managing Director of Investor Relations. Please go ahead, sir.
Ray Posadas: Thank you, Lisa. Good evening, and thank you for joining us for our third quarter 2020 earnings conference call. With me this evening are Dave Graziosi, our President and Chief Executive Officer; and Frederick Bohley, our Senior Vice President, Chief Financial Officer and Treasurer. As a reminder, this conference call webcast and this evening's presentation are available on Investor Relations section of our website, allisontransmission.com. A replay of this call will be available through November 5. As noted on slide two of presentation, many of our remarks today contain forward-looking statements based on current expectations. These forward-looking statements are subject to known and unknown risks, including those set forth in our third quarter 2020 earnings press release, our annual report on Form 10-K for year ended December 31, 2019, and our quarterly reports on Form 10-Q for quarters ended March 31 2020 and June 30, 2020; uncertainties related to COVID-19 pandemic and related responses by governments, customers and suppliers and other factors as well as general economic conditions. Should one or more of these risks or uncertainties materialize or should underlying assumptions or estimates prove incorrect, actual results may vary materially from those that we express today. In addition, as noted on slide three of presentation, some of our remarks today contain non-GAAP financial measures as defined by the SEC. You can find reconciliations of the non-GAAP financial measures to the most comparable GAAP measures attached to an appendix to the presentation and to our third quarter 2020 earnings press release. Today's call is set to end at 5:45 p.m. Eastern Time. In order to maximize participation opportunities on the call, we'll take one question from analyst. Please turn to slide four of the presentation for the call agenda. During today's call, Dave Graziosi will provide you with a brief operational update, Fred Bohley will then review our third quarter financial performance, provide an update on Allison's liquidity and review our full year 2020 guidance. Finally, Dave will conclude the prepared remarks prior to commencing the Q&A. Now I'll turn the call over to Dave Graziosi.
Dave Graziosi: Thank you, Ray. Good evening, and thank you for joining us. We're pleased to report that Allison's third quarter results improved significantly following the severe disruptions experienced in the second quarter, as customer demand and the global economy continue to recover. Despite the positive momentum, the uncertainty associated with the global pandemic. Going forward, we will continue to prioritize the health and well-being of Allison's extended family and align our operations program and spending with current end market conditions while mitigating the risk that we anticipate will last for the foreseeable future and maintaining the flexibility to respond quickly and appropriately. I'd also like to take this opportunity to thank all of Allison's employees customers and suppliers once again for their commitment, dedication and resilience that has supported the uninterrupted delivery of our products throughout the year. Year-to-date, Allison continues to demonstrate solid performance as well as the consistent generation of earnings and positive cash flow. Sequential net sales increase to over 40% as the severe economic weakness and customer shutdowns experienced during the second quarter abated and it rebounded relevant business activity and sentiment generated improved demand for both medium-duty and Class eight straight locational trucks. Furthermore, the third quarter, we settled $16 million in share repurchases and paid a dividend of $0.17 per share. Due to our long-standing commitment to prudent balance sheet management, ample liquidity and profitable operations, Allison remains well capitalized and positioned to navigate the challenges presented by the evolving and uncertain environment, benefit from a recovery in demand and capitalize on future growth opportunities. As we look beyond 2020, the prudent and disciplined pursuit of our strategic priorities and commitment to improving the way the world works indoors. Thank you. And now I'll turn the call over to Fred.
Frederick Bohley: Thank you, Dave. Following Dave's comments, I'll discuss the Q3 2020 performance summary, key income statement line items and cash flow. I'll then review Allison's liquidity and reintroduce full year 2020 guidance before turning the call back over to Dave. Please turn to slide five of the presentation for the Q3 2020 performance summary. Net sales decreased 20% to $532 million compared to the same period in 2019. The decrease in net sales was principally driven by the ongoing effects of the pandemic on the global economy, resulting in lower demand across all of our end markets, except for the defense end market. Gross margin for the quarter was 47.7%, a decrease of 430 basis points compared to 52% for the same period in 2019. The decrease was principally driven by lower net sales, partially offset by price increases on certain products and lower compensation expense. Net income for the quarter was $77 million compared to $140 million for the same period in 2019. The decrease was principally driven by lower net sales and higher sales, general and administrative expenses due to unfavorable product warranty adjustments, partially offset by lower manufacturing expense, price increases on certain products and the intra-year timing of product initiative spending. During the third quarter, a $23 million product warranty adjustment was recorded to address the transmission performance issue associated with ship quality on a specific population of products. We stand behind the Allison brand promise of quality, reliability and durability for every product that carries the Allison name. This unwavering commitment is supported by investments in our people, equipment and processes, that has enabled an average product warranty expense at the percent of net sales of just 1% from 2013 through 2019. Adjusted EBITDA for the quarter was $174 million or 32.7% of net sales compared to $269 million or 40.2% of net sales for the same period in 2019. The decrease is potentially driven by lower gross profit and unfavorable product warranty adjustments, partially offset by lower commercial activity spending and the inter-year timing of product initiative spending. Adjusted EBITDA without the product warranty adjustment recorded in the third quarter was $197 million or 37% of net sales. A detailed overview of our net sales by end market can be found on Slide 6 of the presentation. Please turn to slide seven of the presentation for the Q3 2020 financial performance summary. Selling, general and administrative expenses increased $8 million or 9% from the same period in 2019, principally driven by unfavorable product warranty adjustments, partially offset by lower intangible amortization expense, lower commercial activity spending and lower incentive compensation expense. Engineering, research and development expenses decreased $6 million from the same period in 2019, principally driven by the intra-year timing of product initiatives spending. Please turn to Slide 8 of the presentation for the Q3 2020 cash flow performance summary. Adjusted free cash flow for the quarter was $136 million compared to $165 million for the same period in 2019. The decrease was principally driven by lower gross profit, partially offset by reductions in cash income taxes, capital expenditures, operating working capital requirements and commercial activity spending and the inter-year timing of product initiative spending. Please turn to Slide 9 of the presentation for the Q3 2020 liquidity update. We ended the quarter with a net leverage ratio of 3 times, $251 million of cash and $595 million of available revolving credit facility commitments. We continue to maintain a flexible, long-dated and covenant-light debt structure, with the earliest maturity due in September 2024. During the third quarter, we settled $16 million in share repurchases and paid a dividend of $0.17 per share. We ended the quarter with approximately $856 million of authorized share repurchase capacity. As we continue to navigate the unprecedented in the year, our unwavering commitment and well-defined approach to capital structure and prudent balance sheet management remains intact. As a result, Allison continues to operate from a position of strength and maintains the optionality to pursue growth and capitalize on opportunities that are consistent with our strategic priorities.  Please turn to Slide 10 of the presentation for the 2020 guidance update. Given the improvements in customer outlook and supply chain readiness in the United States and other major markets in which we operate, we are reintroducing full year 2020 guidance. Our updated full year 2020 guidance includes net sales expected to be in the range of $2.025 billion to $2.075 billion; net income expected to be in the range of $285 million to $315 million; adjusted EBITDA expected to be in the range of $690 million to $730 million; and net cash provided by operating activity is expected to be in the range of $490 million to $520 million; adjusted free cash flow expected to be in the range of $385 million to $425 million; and capital expenditures expected to be in the range of $107 million to $117 million. Allison's full year 2020 net sales guidance reflects lower demand across all end markets, except the defense end market as a result of the pandemic, partially offset by price increases on certain products. As Dave mentioned, we remain focused on aligning operations, programs and spending with current end market conditions, and we will continue to make adjustments as conditions warrant. Finally, we remain steadfast in our commitment to the future growth of Allison, and we will continue to fund key product development initiatives that will drive the expansion of our business and further secure our leadership position in the end markets that we serve. Thank you, and I'll now turn the call back over to Dave.
Dave Graziosi: Thank you, Fred. Earlier this month, we announced the launch of Power, Allison's new line of fully integrated zero-emission electric axles for medium and heavy-duty commercial trucks. We also announced the 100 D, Alison's first electric axle variants with the series of product. The power of 100 D is one of the most powerful and fully integrated electric actual systems in the world. In fact, several major global OEMs have chosen to integrate Allison's Power Electric axles into their electric truck development and validation programs, most recently HINO trucks and Hexagon Purus showcased an Power 100 D equipped HENO XL seven truck during HINO's October 5, 2020, announcement of their project B, their zero-emission vehicle development program, will be manufactured in Alison's recently completed 110,000 square foot electric axle development and manufacturing facility in Auburn Hills, Michigan. It features, the product features two electric motors capable of generating 400 kilowatts of continuous power, a peak combined power of 550 kilowatts. It also integrates two speed transmissions into the central housing, facilitating a high starting gradability in top speed, increased efficiency and an optional differential lock. Allison's fully integrated Power line of electric axles eliminates many of the inefficiencies of competitive e-axle solutions. The efficiency advantage translates to increased range capability or a reduction in battery pack size, optimizing the economic value of the Power electric axle delivery. Full electric propulsion technology remains in the early stages of development, the opportunity for Allison is meaningful. We anticipate content per vehicle for fully integrated electric active solution could range from three to 10 times that of a conventional transmission for a Class 6, seven truck. The broad range accounts for the optionality customers will have as it relates to the level of integration and componentry available. Our engineers have been developing electric solutions for commercial and military vehicles for decades, and we are well positioned to continue delivering the Allison promise of quality, durability and reliability with our new line of fully integrated electric propulsion solutions. product family is the second offering under the recently announced Allison of fully electric and electric hybrid propulsion solutions. Earlier in the third quarter, we announced the launch of the Allison's new zero-emission capable electric hybrid system, providing bus fleets with the full electric engine of propulsion up to 10 miles and full electric accessory power operation capability ideal for zero-emission zones and depot operations without the range limitations or infrastructure requirements of full electric solutions. Recently, Indigo, the Indianapolis Public Transportation Corporation, announced that it will be a lead fleet partner for Allison's revolutionary new electric hybrid propulsion product demonstrated commitment to reducing its independent dependence on fossil fuels, enhanced quality of life in their community and protecting the environment while minimizing the total cost of ownership. As interest in electrification continues to gain momentum, many fleets remain reluctant to go all in on full electric at this early stage. Critical feedback from our customers is what inspired Allison to develop the with enhanced capabilities for coach and transit buses, effectively serving as a bridge solution between conventional fuel and full electric solutions. Egen Flex will enable transit fleets to evaluate full electric capability and their needs while still having the availability of a diesel range extender, whether needed for longer or flexible routes, unplanned congestion or an inability to recharge due to power grid challenges. No additional capital infrastructure investment is required to utilize his full electric operation capability. With the new Egen Power line of electric axles and a new Egen Flex electric hybrid system, Allison is building on a foundation of safe sustainable and efficient propulsion solutions created throughout our 105-year history. Our unwavering commitment to innovation and product development, combined with our financial strength, robust cash flow generation and strong margin profile positions Allison to lead the way into the future of commercial vehicle electric propulsion. Egen portfolio is the latest example from a broad and diverse range of product development initiatives we are undertaking at Allison. As we've highlighted throughout the year, the resiliency of Allison's business is inherent in its strong market position in diverse end markets, while the pandemic continues to impact its commercial demand, the essential business of the United States National Defense continues unabated, and Allison remains committed to supporting the United States Military on current and future programs. The U.S. Army is currently evaluating two prototypes for new armored light tank, the mobile protected firepower program to support units with additional firepower. Allison 30 and 40 MX cross drive transmissions designed for medium tracked combat vehicle weighing between 25 and 40 tons has been selected by both manufacturers competing for the Army MPF program. Testing of the prototype MPF platform begins this winter with a final selection plan for the summer of 2022. Volumes for the MPF program are anticipated to reach more than 500 vehicles over 10 years. In addition to the domestic opportunity for Allison 340 MX cross drive transmission, we are collaborating with U.S. allies to meet their transmission requirements for medium weight armour vehicle. We also continue to work with our defense end market partners in the pursuit of additional wheeled and track opportunities around the world. Allison has always been at the forefront of innovation and notwithstanding the considerable uncertainty that lingers in global markets, we remain committed to meeting the current and future needs of our customers across all the end markets we serve. We will continue to invest prudently and appropriately to drive growth, expand our market leadership and further position Allison as a preferred and long-term partner. We look forward to providing you with additional product and collaboration updates in the coming months. This concludes our prepared remarks. Lisa, please open the call for questions.
Operator:  We'll take our first question from Jamie Cook with Credit Suisse.
Jamie Cook: A nice quarter. Dave, I just, understanding it's still early, but you generally have a good read on the market. Your initial views without quantifying on 2021 based on somewhat of what the industry guys are saying, which markets have the best opportunity to grow. And in that vain, should we expect above-average incremental margins from Allison typical of history? And as you don't have some of the temporary cost headwinds coming back in 2021, like some of your peers?
Dave Graziosi: Good morning, Jamie, appreciate those questions. So first, thank you for the recognition on the quarterly results. As I said in the prepared remarks, I think the team here with all of our partners continues to work very diligently to stay safe and work appropriately by a meeting, I think, very challenging conditions as everybody is. Having said that, I think your questions on 2021, as you know, at this point in the year, typically, we are in a strong position to provide guide. I would certainly offer a few thoughts in that regard. Generally speaking, at least the tonality from the market reads that we have, if you think about at least our largest end market being North America on-highway, I would say, generally speaking, America participants and third-party forecasters appear cautiously optimistic that demand conditions were further improve subject to numerous caveats relative to the pandemic. Why I say that, as you all know, she or he will defines controls, and this is one of those where as we start thinking about 2021 and the number of changes we've already made in our business, to your point on cost, that's one that's a near-term focus for us because we are certainly making assumptions as everybody else is, I would generally tell you to the feedback that I just provided. Certainly, there's an expectation that there's better market conditions in '21. I think the challenging part of that, though, is how you start the year because as we currently sit, we've provided a guide for the balance of 2020. We've also made a number of assumptions relative to the pandemic. I think recent developments here over the last few weeks because you're well aware are somewhat concerning from the standpoint of if we have a return of restrictions, what does that really mean as a set up to 2021. So I think that as we currently sit today with general expectations, certainly expect better market conditions, I would say, almost across the board, all of our end markets for next year. But again, I think it's far too early as it normally at this time of the year, but I think with the pandemic, to give you a very clean read. I would also offer to the comments that were made in the prepared remarks, we invest through the cycle. As you know, we are continuing to drive despite what I would certainly described as challenging conditions. The initiatives that we set out that are market-driven. So we are continuing to execute along those lines. Back to your point on incrementals, certainly with better market conditions next year, we would expect better incrementals. I would also offer as part of that, the cost structure changes that we made earlier this year, we continue to feel very good about. I think you would also expect, as we've outperformed our expectations, some of those costs have crept back in, but they're really more variable. We're certainly happy to have the incremental margins that are attached to those. So with that, we'll certainly look forward to the first call in the first quarter to provide a more fulsome answer to your question.
Operator: We'll take our next question from Ian Zaffino with Oppenheimer.
Ian Zaffino: Hi, guys. Thank you very much. Thanks for little color on the EV side. I think you mentioned three to 10 times what you typically would expect in a traditional vehicle. How are you arriving at that? What needs to be included at the low end? What needs to be increased at the high end? And I know we're super far away from any kind of implementation of this. But as you talk to your customers, what are you saying? And where should we maybe expect an average in between three and 10 times?
Dave Graziosi: Yes. Appreciate the question there. So the three to 10 times broad range, as you note, the reason for that is we are assuming that there's a number of customers, end users that some may require a complete solution, so to speak, that being electronics batteries and the propulsion solution itself. But overall, that's a complete system. You can imagine the cost of batteries and the electronics in addition to whatever propulsion device there is. So our range incorporates or gives you a range, which assumes just, for instance, electric axle, all the way up to a full system potentially. So that's really the range. But if you think about on average with a medium class vehicle by North American standards, that range is, you could size pretty quickly in terms of what our basic transmission sells for with support equipment as a source of that multiplier. But it's really not, I think, our reach are unreasonable at this point. I would also offer the reason why we're providing a range is, as we said in prepared remarks, we are assuming there will be a range of customer desires in terms of what they look for from either a component or a solution set. And we certainly believe that end users will look to pick and choose, frankly, the best overall solution for them. I think that will evolve over time from what you're seeing in the early days here to more mature solutions and technology. But as we sit today, there's a very high level of variability around what's desired, but you don't have a mature long-term view. And from our perspective at this point in terms of, but each end user, the vehicle manufacturers are going to be looking for. I think every one of them has a slightly different playbook, and there it's a long period of time here to play that out.
Operator: We'll take our next question from Rob Wertheimer with Melius Research.
Rob Wertheimer: And Dave, thanks for the overview on the Egen side. I did actually want to ask one more question on that, if I could. And just if you could talk about, obviously, you have long experience in hybrid drivetrains and obviously, lots of OEM experience, too. But what do you see as your natural sort of hook into the axle business? Is it, is it common calculate etc? Is it common manufacturing? Or is it simply knowledge of the end customer? I'm just thinking about your core competitive advantage as it develops over the next couple of years?
Dave Graziosi: And Bob, I appreciate that question. So we, if you think about Allison, in our history, we're a propulsion solutions provider. We don't consider ultimately the energy source to be any different firm to differentiate, right? At the end of the day, it's provide, we provide propulsion solutions. As you think about what we do, that's a series of tests. And it starts with the last item you mentioned in terms of knowledge of locational duty cycles and applications. There is a fairly high level of variability. We talked many times about the number of calibrations that our team has developed over decades to run a very wide range of vehicles. They will all, at some level, require different controls for different behaviors that end users want. We believe our history speaks for itself in terms of the reliability and durability of the solutions we put out there and understanding that demanding level of duty cycles that are required, we are very focused on providing that solution, if you will. I would offer to you, as we think about electrification, to your point about what differentiates us, we start out with the objective which is to provide a conventional experience with an electrified solution, right? So you think about today, they're extremely high, highly reliable systems overall. End users typically know at a very finite level, what the experience is going to be, what the total cost of ownership is, etc. You really can't say that about electrification today. It's evolving. But our intention, as we've worked on the space and our, and frankly, our history with even hybrid electric solutions is, you learn a lot. And that's a very high expectation and a bar to meet. And we think our controls experience, locational knowledge and application across the globe as well as our mechanical understanding as we think about, we mentioned the efficiency of the electric outflow solution that we're developing and offering, ultimately, is the more efficient solution than others. There's reason for that because it's ultimately going to impact cost. So you want to deliver something that's highly reliable, ultimately mirroring a conventional experience for the end user. And that really touches upon many of the strengths that we have as a team and as a business. We're looking forward to continuing to apply those to the electric electrification space and a number of different solutions, whether that's full electric or the continued extension and evolution of hybrid.
Rob Wertheimer: If I could ask a little bit of another growth one. Another company, you mentioned the launch of AMP transmissions in China. There are too many units at this point. Just wondered if you have any update on fully automatic solutions in China, and I'll stop there.
Dave Graziosi: You're welcome. In China, we obviously continue to look at it. It's still an emerging mark, in terms of requirements, the standards of vehicles are improving. Our team certainly is working hard to spread the word, so to speak, in terms of the advantages of fully automatic, we're obviously aware of the product that you mentioned there, which is understandable. I think as you look at the broad range of different duty cycles that China has, I would offer that particular technology, as you well know, is not a fully automatic solution and typically is best applied in less shift dense duty cycles. So my assumption is that it will be applied as such which when you look at the development of their demographics and the same challenges we face here, which is the lack of manual drivers. I would note, fortunately for Allison, China is facing the same thing. I think it's a natural evolution, but it really does get back to the proposition. We've always talked about what we focus our growth opportunities on, which is pushing the advantages, which are obvious in terms of fully automatic solutions into that particular market. And our team continues to support that through a number of different initiatives very focused with the right OEMs and frankly, the right locations.
Operator: We'll take the question from Ross Gilardi with Bank of America.
Ross Gilardi: I have a bit of a two part, just still on the e-axle topic. Dave, you just built this facility in Auburn Hills, Michigan. I mean I would assume you wouldn't have invested in that if you were -- and/or AxleTech didn't have a number of OEM relationships well into development for e-axle could you -- would you agree with that statement? If you comment on that? And then the back end of that, you said in your formal remarks, several major OEMs have chosen to integrate Egen Power. You announced HINO, but nobody else to my knowledge, can you comment at all how far in development you are with other OEMs? And should we expect to see additional announcements like the HINO announcement with one of the majors in the next few months?
Dave Graziosi: Ross, I guess, briefly, as I've said during the prepared remarks, several major global OEMs have chosen integrate with our Egen Power e-axles into their existing electric truck development and validation programs. In fact, we're working on full electric vehicle initiatives, to answer your question, with OEMs representing over 70% of our North America on-highway revenue. And we certainly plan on making consequent announcements at the appropriate time. As you well know, we don't get out in front of our customers for obvious reasons. I think that really gets back to one of the other comments I made, which is long term. Strategic partners with these OEMS, we believe it's very important for them, frankly, to drive their programs and that process and make the announcements as appropriate. I would also offer you'll note our announcements are done in coordination with our customers. So again, to answer your question, I think when appropriate, we'll certainly consistent with our collaborative approach, be looking to make a number of announcements. But I mean our position going in is to be -- continue to be a preferred partner and supplier and then, frankly, a very trusted one at that. So I think that the respect for ultimately the OEMs running their businesses and not getting ahead of them is really critical Comment on Hills are obviously, we invested for a reason. I think it's also located well for purposes of working through a number of different supplier relationships as well. So I think the coordination that our team has built since the acquisition, second quarter of last year give them a tremendous amount of credit for really creating a global product engineering organization, and the teams are working well together. It's purpose -- it's been purpose developed there in Auburn Hills. So we're very pleased with the progress there. And I think it's also, again, to your point, really shows our commitment to the overall solutions and further developing the technology.
Operator: We'll take our next question from Ann Duignan with JPMorgan.
Ann Duignan: Just a real quick clarification. You said that the EVs are expected to have content of three to 10 times versus a conventional transmission. What did you mean by conventional transmission? Is that versus the manual transmission? And then if you could address the margin dollars, I know it's early, but since you're not going to be manufacturing a lot of the components for I would imagine that the margin dollars will be much lower than a torque converter automatic transmission.
Dave Graziosi: It's Dave. Let me take the second part of that question, and I'll let Fred handle the first part. So understand that we're 17, 18 years into selling the electric hybrid propulsion solution. As I'm sure you know, we make essentially one out of the three components of that system. We also enjoy, I would say, appropriate margins given the content that we don't manufacture on that system. I would also offer that, as you know, as well, the initial introduction of our products over the years in many, many cases, do not start out with 50% gross margins for the conventional side. So we've earned those margins over time through the team's work, as you know, in perfecting our trade. But also, it's really a function of value. And we did not enter the efforts with electrification almost two decades ago now without a view toward what could be successful, and it's really based on customer input. That being said, those margins do, in fact, evolve over time and mature with both value add as well as, as you can appreciate, the volume side of it, which is cost, etc. So I think we're pleased with that history to really inform a number of decisions we're making around electrification development. With that, I'll turn the first part over to Fred.
Fred Bohley: Relative to the revenue expectation, the three to 10 times is, as we said, over our product that we sell in the conventional Class 6, 7. So that's our transmission and support equipment content in Class 6, 7. That's roughly about $5,000 per vehicle. So we'd expect something three to 10 x that.
Ann Duignan: And as a follow-up then just on the HINO opportunity. Since that's a brand-new product in Class seven cannibalize other OEM products? And is that really a net positive incremental the new source or is it just substitution?
Dave Graziosi: I think it's very early, Ann, in terms of exactly what they're going to apply. I would expect over time, as I think everybody does at some level given the meaningful market position that we have that at some level, assuming make your assumption on electrification penetration. We would look to obviously cannibalize ourselves to a degree, but I think it's early in terms of exactly what HINO ultimately targets where and when. And I think it's extremely early days, but I think the important point stands, which is we're working through. They're working through. Their development programs that there's a fairly high level of optionality around what can be done, but we need the LED process run and the development ultimately take place to their satisfaction.
Operator: We'll take our next question from Joe O'Dea with Vertical Research.
Joe O'Dea: Dave, in your prepared remarks, you touched on the resiliency of the model and what we've seen through challenging markets here. You don't get credit for that in the market. And obviously, a lot of focus on the electrification side. And I'm interested in what the perception of that is internally in terms of maybe misplaced disruption concerns? And then to what degree there's a growing agenda to more actively address that, whether through education, more formalized, longer-term plans, capital deployment commitments? Just how do you see the opportunity to address some of the concerns out there?
Dave Graziosi: Yes. Joe, it's Dave. I appreciate that question. As we talked before, electrification has a number of potential impacts on our business, and we're certainly embracing the opportunity and driving it. I would say more broadly, as you look at our entire portfolio of end markets, I think, to your point, certainly, the market attributes, in many cases, are very attractive relative to different levels of challenges for potential competition or otherwise. And we're, as I'm sure you have noticed, very overtly over the last few years are driving investment to grow those businesses as well. So I wouldn't, I look at our entire portfolio, frankly, beyond just the existing convention with emerging markets as plenty of opportunity for our team. I would also tell you the activities that we have across the balance of our end markets are probably one of the highest in Allison's modern history. And that range is from off-highway next-generation products and controls through defense. We've talked about the 34 here on this call. We're also working on a number of other developments. And I think the portfolio, I think it really shows the more active engagement by our team globally to really further entrench ourselves in these markets. And the portfolio, I think, is speaks for itself in terms of the type of demand, both proactively that we're seeking as well as reacting to a number of inquiries. And then, of course, the annuity that comes with the aftermarket business. And I would say, across all of them, we feel very good about the broader portfolio. I do think it's fair for a number of parties to ask questions around electrification because it's certainly, I think, top of mind for a lot of obvious reasons. That being said, we see it as an opportunity, but I think time lines will be interesting because there's so many different factors that drive that. In the meantime, we have a very focused effort here across the entire portfolio. So I think I certainly appreciate our team's efforts as well as all of our partners to continue to drive the development to, frankly, challenge us to be even better than we've been. And we take that to heart in terms of what other things we're going to be able to do is, hopefully, these markets improve near term and get back to, I think, a more normalized way of selling and proactively engaging in the market.
Operator: We'll take our next question from Luke Junk with Baird.
Luke Junk: Just wondering relative to the discussion around your three to 10 times content opportunity for electrification. Can you maybe talk about the payback that you see inherent in that for the end customer? Maybe relative to what you target for traditional transmission, do you think that we're ultimately getting to something that is going to be more commercially viable at this point?
Frederick Bohley: We target on the conventional side, two to three year payback on a premium product. And that's what our end users demand. In the electrification systems that we're developing are for those users, and I think their expectations are the same. As Dave mentioned earlier, their expectations around payback are they're going to get the reliability, durability that they get in the conventional space. So I think, initially, any new product needs to prove itself, there's an element of skepticism. It needs to prove that can go the life cycle. Where we sit today, you still need significant improvement in battery cost and capability to get anywhere close to the payback that the end users expect. So there are going to be locations that are more prone to adopting without an appropriate payback, locations that have other funding sources, such as transit properties. But again, there's challenges there with B&O to meet the duty cycle. And that's why we're also seeing the electric hybrid being a very good solution there. So the answer is, our expectations on payback are the same. Our customers are the same. Really battery capability needs to improve. And then you also have to factor in, in the infrastructure investment in order to get to the appropriate payback.
Operator: And we'll take our next question from Seth Weber with RBC Capital Markets.
Unidentified Analyst: This is Brendan on for Seth. Your parts service business was a little bit better than we had expected. I was wondering if there's anything worth calling out there? Just any additional color there would be appreciated.
Dave Graziosi: I guess, to your point in terms of what you expected, I'd call out a few things. The third quarter featured to really a full quarter of additional sales from Walker Die Cast that acquisition occurred in September of last year. So that's one aspect. When you look at it over a year-over-year basis, that's included, and we continue to be pleased with that acquisition and the progress of our team there and frankly, responding to the market conditions and as well as, I think, some increased interest apparently, which is more broadly known, as you're aware, around localization. The book, I would say, the balance of it in terms of on-highway, I would describe as stabilizing as you know, pretty simple with Q2. But as we think about the market here, it's certainly stabilizing. There's some level of seasonality, as you're well aware, in Q4, although I think some of that may be mitigated a bit. But I would describe the space as stabilizing globally relative to on-highway. Clearly, off-highway is much, much softer, as you know, with hydraulic frac out North America being in largely a rebuild maintenance mode at this point and working through end users, equipment owners cannibalizing equipment and reducing fleet sizes. And I would expect that overall concept that carry itself as a focus over at least the medium term. The balance of the portfolio, support equipment really follows volume. Volume is obviously up sequentially. And when we look at it year-over-year, obviously down. But I think those are the broader attributes there, I would call out to your question.
Operator: And that does conclude the question-and-answer session. I would like to turn the call back over to Dave Graziosi for any additional or closing remarks.
Dave Graziosi: Thank you, Lisa. Thank you again for your continued interest in Allison and for participating on this evening's call. On behalf of the entire Allison family, we wish all of you, your families and colleagues, good health and safety. Enjoy the rest of your evening.
Operator: And that does conclude today's presentation. Thank you for participation. You may now disconnect.